Operator: Thank you for holding, and welcome to Rockwell Automation, Inc.'s quarterly conference call. I need to remind everyone that today's conference call is being recorded. Later in the call, we will open up the lines for questions. At this time, I would like to turn the call over to Aijana Zellner, Head of Investor Relations and Market Strategy. Miss Zellner, please go ahead.
Aijana Zellner: Thank you, Julian. Good morning. And thank you for joining us for Rockwell Automation, Inc.'s First Quarter Fiscal 2025 earnings release conference call. With me today is Blake Moret, our Chairman and CEO, and Christian Rothe, our CFO. Our results were released earlier this morning, and the press release and charts have been posted to our website. Both the press release and charts include, and our call today will reference, non-GAAP measures. Both the press release and charts include reconciliations of these non-GAAP measures. A webcast of this call will be available on our website for replay for the next thirty days. For your convenience, a transcript of our prepared remarks will also be available on our website at the conclusion of today's call. Before we get started, I need to remind you that our comments will include statements related to the expected future results of our company and are therefore forward-looking statements. Our actual results may differ materially from our projections due to a wide range of risks and uncertainties that are described in our earnings release and detailed in all our SEC filings. So with that, I'll hand it over to Blake.
Blake Moret: Thanks, Aijana, and good morning, everyone. Thank you for joining us today. I'll make a couple of general comments before we turn to our first quarter results. I'm pleased with the early benefits of our renewed focus on operational excellence and cost discipline as we create a solid foundation for market-beating growth and performance. Continuing benefits from cost reductions in SG&A we took last year will be joined with benefits from reduced costs of direct and indirect purchases, manufacturing efficiency, and additional price actions. Overall, our plan to achieve $250 million worth of productivity benefits versus last year is intact, despite additional temporary headwinds such as the negative impact of currency. Additionally, we are confident that we are dealing with the recently announced tariffs in a way that mitigates the impact and maximizes our position as a large US manufacturer. We've been working on various scenarios since before the election. Undoubtedly, there will be near-term disruptions and volatility in the global supply chain both for us and our customers, but we continue to believe Rockwell Automation, Inc. is a net beneficiary of policies that increase US manufacturing. Christian will cover some of the actions we are taking later in his section. In terms of demand, we are encouraged by better-than-expected order performance in the quarter. We had mid-single digits sequential growth overall, with sequential growth across all regions and business segments. Orders exceeded shipments in the quarter, giving us some additional backlog for the balance of the year. While there is still macroeconomic and policy uncertainty weighing on customers' CapEx plans, Rockwell Automation, Inc. won multi-million dollar strategic orders across multiple key industries in the quarter, especially in the US, our home market. Let's now turn to our Q1 results on slide three. Our Q1 orders grew 10% versus the prior year and, as I said, were up mid-single digits sequentially. We saw particularly strong orders for Logix controllers and IO. We believe our order outperformance reflects true underlying demand based on the broad geographic outperformance, balanced mix of hardware, software, and solutions orders, and the fact that distributor and machine builder inventories continue to reduce. As customers are waiting for more certainty in the macroeconomic and US policy environment, they're balancing their automation spend between increasing operational efficiency and making longer-term capital investments. Our Q1 order outperformance includes a number of large customer projects that are slated to convert to sales over the coming quarters. Our Q1 reporting sales declined about 8.5% year over year, with slightly better-than-expected organic sales being offset by about a point of headwind from negative currency translation. Remember, our sales in the first half of fiscal 2024 were still supported by a sizable product backlog, creating a difficult year-over-year comparison for us in fiscal 2025. We expect to return to year-over-year sales growth in the back half of the year. Organic sales in our Intelligent Devices segment were down 12% versus the prior year and in line with our expectations. Both CUBIC and ClearPath, our recent acquisitions in this segment, saw double-digit year-over-year growth in sales. We continue to grow our pipeline of multiyear projects here with significant wins across our key industries and global customers. I'll touch on some of these wins in a few minutes. Software and control organic sales declined about 12% year over year but were above our expectations. Logix exceeded our expectations this quarter, with both orders and sales at double digits versus the prior quarter. Logix orders have recovered sequentially during the last six months. Some of our newer offerings we talked about at our investor day in November continue to set us apart and help get new customers. One of these competitive wins in the quarter was with Convergex Automation Solutions, a leading global machine builder who's partnering with Rockwell Automation, Inc. to help a German end user with their first US greenfield plant. The customer chose our cloud-enabled Optix platform for its hardware-agnostic nature and its ability to seamlessly extract and aggregate data from various devices on a plant floor, significantly reducing the time, risk, and cost to integrate solutions for multiple vendors. Lifecycle services organic sales were up 5% year over year. Book to bill in this segment was 1.05, led by strong orders in our solutions business and tied to some of the larger multiyear project wins I mentioned earlier. We also saw good growth in recurring services, with strategic wins across automotive, tire, and food and beverage. Total ARR for the company grew 11% in the quarter, led by strong growth in our software offerings. One of our notable wins here this quarter was with Morocco, whose dairy factory is powered by renewable geothermal energy and has one of the lowest manufacturing carbon footprints in the industry. Our cloud-native Plex software was chosen to help Morocco enhance their product traceability, improve quality, and reduce cost. Segment margin was over 17% in the quarter, and adjusted EPS was $1.83, both well above our expectations as we continue to execute on our cost-out and longer-term margin expansion projects. As we reiterated at our Investor Day a few months ago, we are committed to delivering $250 million in year-over-year benefits from these actions in fiscal 2025. In addition to this structural productivity, we're deploying temporary cost measures to help mitigate the unfavorable currency impact on our earnings. Christian will cover this in more detail later. Turning to slide four, to review key highlights of our Q1 industry segment performance, consistent with our overall sales results in the quarter, our performance by industry reflects difficult year-over-year comparisons with Q1 of last year still benefiting from a large product backlog. Our discrete sales were down mid-single digits year over year with declines in auto and semi, partially offset by strong growth in e-commerce and warehouse automation. Within discrete, automotive and semiconductor sales continue to be impacted by delays as customers focus on driving operational efficiencies and profitability amidst increasing uncertainty from trade and policy changes in the upcoming months. E-commerce and warehouse automation sales grew over 30% versus the prior year and were above our expectations. We saw a significant uptick of customer activity this quarter, especially in North America and Europe. A strong position with leading machine builders and systems integrators in this space is helping us gain additional share of wallet with key end users, both in the traditional e-commerce space and global logistics sector, with a common theme of facility modernization and optimization. Recent new product introductions have also enhanced our competitiveness in this vertical. Given the acceleration in customer investments, we now expect e-commerce and warehouse automation to grow high single digits year over year in fiscal 2025. Moving to hybrid, sales in this industry segment were slightly above our expectations, led by better performance in food and beverage and home and personal care verticals. In food and beverage, our customers continue to prioritize spend on digital services and modernization programs over large capacity investments. We expect modest improvement in this vertical as we go through the year. In life sciences, we saw a number of strategic wins in the quarter, showcasing the breadth and differentiation of our offerings to serve this market. In addition to follow-on orders for GLP-1 related investments, we secured a large competitive win with our FactoryTalk MES software, helping one of the largest European life sciences companies standardize their global facilities on our platform to increase tech transfer speed and reduce cost. Another important win this quarter was with Thermo Fisher. Our autonomous mobile robots were selected to help address Thermo's workforce challenges by optimizing their warehouses through Otto's AI-enabled path determination and movement flexibility, freeing up labor to focus on more value-adding tasks. Turning to process industries, sales in these verticals were down high single digits year over year on difficult prior year comps, especially within our energy market where oil and gas grew over 25% in Q1 of last year. While the new administration's support for more oil production in North America should benefit our customers in the long run, we see a mixed reaction from our energy customers near term as they continue to prioritize capital discipline and operational efficiency over adding more production in the US. This quarter, Rockwell Automation, Inc. and EPIC Industrial, a leading EPC company in the energy and chemical space, were chosen by one of the world's largest oil and gas producers to help achieve this end user's goal of net zero emissions by 2050. Another important process win was in our mining vertical. Vale selected Rockwell Automation, Inc. to help increase production and reduce water consumption at their new processing plant in Brazil. Our winning combination of integrated hardware, software, and services is the reason Vale chose Rockwell Automation, Inc. as their single partner to integrate end-to-end solutions for this greenfield. Let's turn to slide five in our Q1 organic regional sales. As you can see, the Americas continue to outperform other regions for us this quarter. EMEA sales were down 14%. We continue to see weakness across most of the region, particularly in Germany and France, with some early signs of stabilization at Italian machine builders. Asia Pacific sales declined 9%, led by a double-digit year-over-year decline in China. While the automation market in the region is expected to stabilize later in 2025, we expect Asia Pacific to be our weakest region in fiscal 2025. Let's now move to slide six to review our fiscal 2025 outlook. We continue to expect a gradual sequential sales improvement as we move through this fiscal year. We're keeping our organic sales growth range of positive 2% to negative 4%, but we are updating our reported sales midpoint to $8.1 billion, reflecting 1.5 points of negative contribution from currency translation. Christian will cover FX and the calendarization of our guidance in more detail later on the call. Annual recurring revenue is projected to grow about 10% this year. As I mentioned earlier, we are taking additional cost measures to offset the negative impact of currency headwinds on our bottom line, which means we continue to expect segment margin in the 19% range and are reaffirming our adjusted EPS of $9.20 at the midpoint. We expect free cash flow conversion of 100% in fiscal year 2025. I'll now turn it over to Christian to provide more detail on our Q1 and financial outlook for fiscal 2025. Christian?
Christian Rothe: Thank you, Blake, and good morning, everyone. I'll start on Slide seven, first quarter key financial information. First quarter reported sales were down about 8.5% versus the prior year. The impact of acquisitions was negligible, and currency had a negative impact of 90 basis points in the quarter. But one point of our organic growth came from price, and price cost was favorable. Segment operating margin was 17.1% compared to 17.3% a year ago, but lower sales volume was mostly offset by the benefits of cost reduction and margin expansion actions Blake mentioned earlier. Adjusted EPS is $1.83, above our expectations primarily due to the beat on segment operating margins. I'll get into more detail when we discuss the EPS bridge and the cost reduction actions. I'd like to take a moment to commend the team for outstanding performance in the first quarter. It was about strong execution and good cost controls. The adjusted effective tax rate for the first quarter was 17.5%, below the prior year rate of 17.9%. We remain on track to achieve a 17% ETR for fiscal 2025. Free cash flow of $293 million was $328 million higher than the prior year. Free cash flow conversion was 140% in the first quarter of this year, reflective of continued working capital management by the team as well as zero incentive payout on fiscal 2024 performance. This is in contrast to the first quarter of last year where we had our cash bonus payout for 2023 performance. Two additional items not shown on the slide: we repurchased approximately 400,000 shares in the quarter at a cost of $99 million. On December 31st, we had approximately $1.2 billion remaining under our repurchase authorization. Return on invested capital was 14.5% for the first quarter of fiscal 2025, 400 basis points lower than the prior year, primarily driven by lower pretax income. Slide eight provides the sales and margin performance overview for our three operating segments. Intelligent Devices margin of 14.9% decreased by 130 basis points year over year. Purely focusing on detrimental conversion, the segment had decrementals in the 20s year over year in the first quarter, which reflects strong execution on cost-out programs against the double-digit organic sales decline. Software and Control margin of 25.1% was flat with the prior year. This segment typically has very high decrementals, but strong execution on our cost-out programs and good price cost performance kept our year-over-year decremental margins in the 20s, performing above our expectations. It's important to note that R&D spend in this segment was in the low teens as a percentage of sales, reflecting our continued focus on new product introductions and long-term growth differentiation. Lifecycle Services margin of 12.5% decreased 190 basis points year over year and was slightly below our expectations, mostly driven by Sensia shipments. Incrementals were solid year over year, reflecting the low single-digit volume growth and strong execution on our cost-out programs. Before moving on to EPS, let's just stay a little on orders and demand. As Blake mentioned, orders came in better than expected, surpassing $2 billion in the first quarter, and book to bill was greater than one, which hasn't been the case for the last seven quarters. This is a good sign, but didn't materially change the calendarization of our outlook. The outperformance was largely from project orders scheduled to ship later in the year. Another favorable data point: in the first quarter, new demand placed on our distributors is flowing through at close to 100% in terms of new orders on Rockwell Automation, Inc., matching historical levels, giving us further evidence that the destocking cycle is mostly behind us. The next slide, nine, provides the adjusted EPS walk from Q1 fiscal 2024 to Q1 fiscal 2025. Core performance was down $0.55 on an 8% organic sales decrease. Those sales declines were primarily in our higher margin products, in both Intelligent Devices and Software and Control, which impacts flow through. Importantly, the organization took some temporary cost measures in Q1, which helped keep the core detrimental flow through on the high single-digit sales decline to this level. Cost reduction and margin expansion actions, which reflect more structural productivity, provided about $70 million of benefit in Q1, slightly above our expectations, and were a $0.50 tailwind. Compensation, which reflects merit and incentive compensation, was a $0.20 headwind. This year-over-year delta reflects merit increases that came into effect at the beginning of the fiscal year, as well as higher incentive comp versus the prior year. Recall that our full-year 2025 guide, which for compensation and inflation to be about a $190 million headwind compared to fiscal 2025, with $160 million of that coming from compensation. The inflation impact is captured inside a core in this bridge. We expect compensation to be about $0.90 of headwind, the remaining three quarters of the year spread about equally. All other items resulted in a $0.04 net benefit. Moving on to the next slide ten to discuss our updated guidance for the full year fiscal 2025. Our thesis for the year remains largely intact with a couple of changes. We expect organic sales in a range from negative 4% to positive 2%. While our initial guide for reported revenue for fiscal 2025 did not anticipate any significant impacts from currency, the recent strengthening of the dollar requires a modification in our guide. At current rates, we expect currency headwind to be about 1.5 points, which takes our guidance on reported sales down to slightly below $8.1 billion at the midpoint. We expect price to contribute about a point of growth for the year. This excludes any tariff-related price actions. At the midpoint of our reported sales guidance, which is now negative 2.5%, our current expectations are for Intelligent Devices sales to be down mid-single digits, and Software and Control and Lifecycle Services to be approximately flat year over year. From a margin standpoint, we expect ITD margin to be down year over year on lower sales. Software and Control margins to expand year over year on flat sales, and we expect Lifecycle Services margin to be flat to slightly down year over year. Our adjusted EPS range is unchanged at $8.60 to $9.80, with a $9.20 midpoint. Talk about calendarization. The dollar strengthening late in the first quarter has continued into the second quarter and is a sequential headwind of less than one point. Expectations for reported sales grow low to mid-single digits sequentially from Q1 to Q2. After Q2, we're expecting gradual sequential sales growth through the remainder of the year. On a year-over-year basis, the 1.5 points of sales headwind from FX is expected to result in a $0.35 headwind on EPS, split evenly to the remaining three quarters of the year. As Blake said earlier, we're taking additional temporary measures on spending to offset this impact. The team performed well in spending control in the first quarter. We're going to hold those reins tight and continue to drive towards that adjusted EPS midpoint of $9.20. Just look at Q2, we expect segment operating margins to expand about 100 basis points sequentially on the incremental sales volume, resulting in EPS up. Those sales and margin expectations would be in the neighborhood of $2 per share. A few additional comments on fiscal 2025 guidance for remodels. Corporate and other expense is expected to be around $145 million. Net interest expense for fiscal 2025 is expected to be about $140 million. We're assuming average diluted shares outstanding of 113 million and share repurchases targeted during the year. Moving away from the slides, I'd like to expand on a couple of topics. First, focusing on cost reduction and margin expansion activities, which gave us a benefit of approximately $0.50 of EPS in the first quarter. For the full year, we continue to expect a benefit of $250 million or about $1.85 per share. As discussed at our investor day in November, there are hundreds of projects supporting these initiatives. And while each one individually may only be a couple of basis points or ten basis points of yield, when put together and annualized, they are giving us a yield in the hundreds of basis points. The timing and magnitude continue to fluctuate as we execute against these plans. The first quarter was a good one. We tracked slightly ahead of our goal for the quarter. The primary driver of the outperformance was manufacturing efficiencies and effective sourcing. There's a lot of year left in front of us, a great deal of work to be done, but I'd like to thank the team for their efforts. Nice work. While you may see this initiative as cost, because that's what we're tracking and reporting to our investors, it's important to note that the ultimate goal is product competitiveness and speed. These actions are setting us up for long-term growth of both sales and earnings. To that end, I want to follow up on some other operational excellence topics from our investor day. The Rockwell Automation, Inc. operating model continues to develop as we build the foundation for sustaining our long-term cost-out initiatives as well as drive margin expansion for the long term. During the first quarter, we had another 1,300 Rockwell Automation, Inc. employees complete yellow belt training. In addition, we rationalized over 21,000 SKUs as we seek to simplify our operations and improve customer experience. Our product resiliency index continues to improve as we steadily reduce single points of failure in our operations. While those initial efforts arose from the supply chain crisis, as we enter into an era of changing tariffs and trade, resiliency enables us to respond to dynamic conditions. Moving on, I'd like to go into some depth around the potential tariff impact on our business, including our short-term actions as well as longer-term thoughts. As Blake mentioned earlier, the Rockwell Automation, Inc. team has taken initial steps in response to new tariffs. We've planned for a number of scenarios and remain ready to adapt quickly. Our priorities are a combination of maintaining profitability and utilizing resiliency in our operations and supply chain to mitigate impacts under a variety of scenarios. I want to size our exposure so you have context. The cost of finished goods imported from Mexico, Canada, and China in total were less than 10% of our US revenue in fiscal 2024. Separately, in fiscal 2024, our direct imports into the United States from Mexico, both from third parties as well as from our own manufacturing facilities, were approximately $350 million. Imports from Canada and China were each approximately $100 million. Our tariff mitigation plan is multifaceted. For the near term, this will be primarily through price, and we have implemented price changes from the additional China tariffs that were enacted on February 4th. We have made and will continue to make changes to manufacturing locations where there's an attractive ROI. Canada and Mexico tariffs, if they happen in March or sometime in the future, will impact both standard products as well as a portion of our configured order sales. We will enact price increases on impacted products and also intend to reprice our backlog to reflect our new price list. These actions are disruptive for our customers, of course, and there will likely be some noise in the near term. We are working hard to minimize that disruption and ensure continued levels of customer service. With that said, due to our immediate actions and substantial US manufacturing footprint, we do not expect these tariffs to have a material impact on our profitability for the full year. Beyond pricing, we have a number of projects that are in flight to mitigate tariff costs through alternative sourcing and movement of production locations. We'll be leveraging the resiliency that's been built into our operations and supply chain, including movements in production in response to tariffs. For example, we have some products that are produced in Mexico and destined for the US, but similar production that occurs in the US where the destination is outside the United States. We're swapping those out, leaving the production for non-US customers outside the US in order to create capacity to manufacture production for US customers inside the US. It's a small portion of our overall tariff-impacted operations but a good example of quick moves we can make. As Mike mentioned at our Investor Day, our operations team has done a good job of keeping infrastructure in place for second shift, sometimes third shift in locations, that have been challenged with lower volume in the last twelve months. That creates an opportunity to move production into the US to avoid tariffs with a limited time lag. As you know, we're in a very dynamic environment, so we will continue to leverage our agile supply chain and take additional steps as necessary. With that, I'll turn it back over to Blake for some closing remarks before we start Q&A.
Blake Moret: Thanks, Christian. As I mentioned, we're seeing some encouraging new project activity across multiple end markets. Many of these involve US user sites, but they involve multiple points of influence around the world. And we're doing a good job of coordinating this global effort. We expect the impact of so-called mega projects to be meaningful in the next few years. We continue to track new legislation and executive orders as they are announced. With our large US manufacturing footprint and strong market position, we're confident that we can respond quickly to these changes. I'm pleased with the progress our teams are making toward our long-term productivity and margin expansion targets, and I'm confident we are making the right investments to drive sustained growth and profitability. The framework for superior growth and performance through the cycle that we outlined over a year ago is intact, and we are working that plan. I'm also taking a moment to thank our employees and partners for their dedication and hard work. I'm proud to have such a strong team to help us navigate through this dynamic period. Nobody is better positioned than Rockwell Automation, Inc. and our partners to help American manufacturers create the future of industrial operations. Aijana will now begin the Q&A session.
Aijana Zellner: Thanks, Blake. We would like to get to as many of you as possible, so please limit yourself to one question and a quick follow-up. Julian, let's take our first question.
Operator: Certainly. As a reminder, to ask a question, please press *1 on your telephone keypad. Our first question comes from Scott Davis from Melius Research. Please go ahead. Your line is open.
Scott Davis: Hey. Good morning, guys. Blake and Christian, Aijana. Good morning. Hey. I want to start with this SKU rationalization thing because it's kind of relatively new-ish for you guys. And 21,000 sounds like a lot. I know you sell a lot of stuff, so maybe it's not. But in context, it sounds like a lot. But are there puts and takes on how that impacts 2025? Meaning, I would have expected maybe some top-line impact but perhaps an offsetting impact on margins. Is there any way to kind of drill down into that a little bit?
Christian Rothe: Yeah. Sure, Scott. I'll start. And if Blake wants to jump in afterwards, he can certainly do so. But from the SKU rationalization, what's to be really honest here is that this hasn't been done in the history of Rockwell Automation, Inc. So really, we're starting with the low-hanging fruits. That 21,000 really reflects a lot of no-sales and low-sales SKUs. So from an impact perspective within the year, you should be thinking about it as any impact at all or no significance of impact. It's really, again, trying to help us streamline those operations. As we get farther along in the process, we've got another 39,000 that we're looking at right now, that will continue to have a little bit more of an adjustment, but again, don't expect it to have a material impact.
Blake Moret: Yeah. And this is think of this as part of a spectrum of activities as we go in and take a little bit closer look at the total SKU portfolio. As Christian mentioned, you have those that are easy to reduce from our bills of material. And then look at what are the items that we might want to keep, but we can do something with price on. Beyond just the general price increases that we do. So we're working through that in a methodical way. I expect this activity to continue on an ongoing basis, but the early results, as you said, are significant because when you can reduce those catalog items, then it reduces the ability for those items to attract cost in some way as they move through the manufacturing footprint.
Scott Davis: Yeah. That makes sense. Hey, guys. This was a more, I think, upbeat and positive call than you've had in a few quarters. And orders obviously supportive of that and a lot of progress you've made on the margin side for sure. Incrementals certainly way better than you had in the past. But when you think about the guidance for 2025, on just organic growth, considering the orders that you had in the commentary, would you expect that there's a little bit of a positive bias to that guidance? Is that fair to say? Would you characterize that you're still being just a little bit conservative and appropriately so, I suppose, given the state of affairs in the world, but it appears it got a bit conservative. Would you characterize it as that?
Blake Moret: Scott, there's no question we had a good start to the year. As we've been saying, we expected gradual sequential growth through the year, overperformed a little bit in orders, so we're happy to see that early in the year. But it still keeps our thesis intact. We needed to see growth. We've started off with growth, and we expect to see that continue through the year.
Scott Davis: Okay. Fair enough. Best of luck, guys. Thank you.
Aijana Zellner: Thanks.
Operator: Next question comes from Andy Kaplowitz from Citigroup. Please go ahead. Your line is open.
Andy Kaplowitz: Good morning, everyone. Nice quarter. Hey, Andy. Christian. Orders up mid-single digits sequentially. I know you had five six expectations. Can you give us more color in terms of what you think happened in the quarter? It seems based on Christian's comments that maybe lack of destock was slightly better than expectations. And you did mention, Blake, the improvement in e-commerce. You sound a little better on hybrid and food and beverage and life sciences. How much of that improvement is actually getting better versus your improved product offering? And did the positive order trend you saw in fiscal Q1 continue in January?
Blake Moret: Yeah. I think the performance in Q1 and then January, which does support the outlook for Q2 and the balance of the year, does represent some improvement in the underlying market. As Christian said, we saw the orders, the new demand placed on our distributors pretty much right on top of the new demand that we're seeing, which indicates that the destock of our market is pretty much done. In most parts, possible exception of China. It's broad-based. Importantly, it was manifested in the hybrid space with food and beverage and home and personal care. We mentioned that we saw some green shoots in Italian builders, which is mainly packaging, for life sciences, including beverage. Within the discrete space, automotive is still a challenge. But as we mentioned, e-commerce, warehouse automation, is quite strong. That includes a few areas. It includes e-commerce as new fulfillment centers are being built. It includes the modest exposure we have to data centers, but that modest exposure is growing really fast. And then it's parcel handling companies that are looking to complement scarce people with technology, and we're seeing some really good projects in parcel handling companies. And this is also where we mentioned new product introductions, our on-machine portfolio, FactoryTalk Optix for operator interface and edge data management, autonomous mobile robots, all of those are playing a role. They're not only winning on their own merit, but for precisely the reason that we acquired these companies, they're pulling through larger solutions as customers are confident that we have the breadth to be able to meet their needs. And I'll finish by saying, you know, process we're not seeing a weakening in oil and gas. More of the performance there was based on very strong comps or difficult comps in the first quarter of last year when oil and gas was up 25%, but we continue to expect energy to contribute positive growth in the year, and then mining within the process industry is also a source of optimism.
Andy Kaplowitz: Very helpful, Blake. And then, Christian, your cost reduction and margin expansion actions, as you said, were at $0.50 in Q1, $1.85 expected for the year. Think, Christian, at the Investor Day, you mentioned the cost actions from your combined overall cost program. We're going to continue to ramp as 2025 evolves. And you mentioned slightly more positive impact, any mild insourcing and manufacturing in Q1. So do you actually see a little more benefit than that $1.85? I know it's early, but how would you respond to that?
Christian Rothe: Yeah. And it's really more about the timing of those. So we did certainly I think we've understood the timing and magnitude is always going to be a little bit tough for us to gauge. And so some did come through a little bit earlier in the year, in the first quarter than what we'd expected. Didn't see anything in there though that would say that we would be changing that number. And so, you know, from the perspective of the overall program, the size program is still the same. Keep in mind that this program really started in the second half of last year. So as we're coming up against those comparables, as we get into the second half of this year, again, we're going to be building on that base, but we have to make progress against the cost that were already in place from the prior year.
Andy Kaplowitz: Appreciate the color. Thank you.
Operator: Our next question comes from Chris Snyder from Morgan Stanley. Please go ahead. Your line is open.
Chris Snyder: Thank you. I wanted to just kind of follow-up on some of that commentary around orders here improving into December quarter. Do you think that there was any positive impact of moving past the election? You know, we heard from a lot of companies in late summer and the fall that there was maybe some freezing ahead of the election. So do you think that had any impact whether it's, you know, some of these projects moving forward or, you know, distributors or integrators just willing to hold a little bit more product, you know, given improved expectations?
Blake Moret: I think there's a little bit of that. I think as we've talked to customers, really around the world, but especially here in our home market, there is a general optimism. Now that being said, there's obviously remaining volatility which offsets a bit of that. But the general mood out there as evidenced by PMI in the US, you know, finally getting above fifty for the first time in a long time, is that there's a general optimism and these companies can't wait to get on with their plans for increasing efficiency or transforming their operations. And at some point, they're all concerned about waiting too long and losing share to companies that move more assertively. So I think we did see a little bit of that as evidenced by the broad-based project activity that we mentioned in the first quarter.
Chris Snyder: Thank you. I appreciate that. And then for my follow-up, maybe one for Christian. So software and control margins, obviously, a real standout this quarter, up year on year despite double-digit revenue decline. I guess, what should we expect the rest of the year there for margins? Because it seems like revenue should continue to build sequentially as the year goes on. And I would think with that, those volumes lift up margins for the segment as the year goes on. Thank you.
Christian Rothe: Yeah. Sure, Chris. So, yeah, as the year goes on, you know, again, we talked about Clearbit mix and Blake specifically mentioned Logix and IO being nice contributors in the quarter. And, you know, as we talked about for the full year, we are expecting that that business year over year is going to be in that flat range, which should get some expanded margin. So really nice start to the year. You know, from an overall margin perspective, again, we're just looking for that to continue to progress gradually during the course of the year.
Operator: Our next question comes from Julian Mitchell from Barclays. Please go ahead. Your line is open.
Julian Mitchell: Oh, yes. Hi. Good morning. Maybe my first question was just around trying to understand, again, sorry, to go back to the orders and know, understood. Year on year is up double digits, but also very depressed base a year ago. So maybe if we think about the book to bill, it's a bit easier. I think maybe that was about 1.07 in your first quarter. I imagine it's always above one early in the year, below one second half of the year. So is there any sort of historical context you could put around that book to bill kind of what is it typically in the first quarter, company-wide, you know, anyway you could sort of flesh that out and how we should think about that book to bill moving over the balance of the year?
Blake Moret: Yeah. Julian, I don't know that we have as reliable a correlation in orders at the beginning of the year. As we do with what you mentioned, and that is at the end of the year, certainly Q4, you know, you can typically count on higher shipments particularly in our configured order and lifecycle services business. We did see orders a little bit better than expectations in the first quarter. We mentioned mid-single digit growth overall. Products were actually a little bit better than that in terms of sequential growth. And products in terms of orders probably are affected by calendarization the least, you know, unless it has to do with, you know, holidays, you know, typical in one quarter or the other. So to be sure, the performance was a little bit better than expected in the first quarter and then as we mentioned January performance was consistent with our outlook for Q2 and the rest of the year.
Julian Mitchell: Thanks very much. And then just to understand the differences between sort of intelligent devices versus software and control. So it looks like in intelligent devices, maybe the channel or your partners are a bit further behind in the destocking, whereas Logix and software and control you're firmly in the sort of early stage of an upturn. I just wondered if that's a fair characterization and what sort of typical operating leverage we should expect from Logix in a sales recovery?
Blake Moret: Yeah. I think you can also look at the performance of Logix as being impacted by the reduction of any excess inventory in our machine builders. Obviously, Logix was foundational to the solutions that our machine builders around the world use. And it was recovering, to be sure, from a low base at the very beginning of last year. Now, intelligent devices is a broader set of SKUs relatively than software and control hardware. It has to be said, intelligent devices does have a lot of exposure to automotives, which as we've mentioned, hasn't really hit that same growth curve that some of the industries have. So that's a little bit of additional color for you on the relative performance between those two sets of hardware.
Christian Rothe: Maybe I'll just add one other thing around the configured order portion of the business. In Intelligent Devices. Typically starts the first quarter of which is usually low as well.
Julian Mitchell: Great. Thank you.
Operator: Our next question comes from Joe O'Dea from Wells Fargo. Please go ahead. Your line is open.
Joe O'Dea: Hi. Good morning. Thanks for taking my questions. Good morning. On the cost out and the $250 million and I think, you know, a little more than half of that on the COGS side, you just talk about the status of actions there with respect to, I think, a year that's framed as, you know, COGS really kicking in some of the contribution to cost savings in the back half of the year. But of that $130 million, you know, any sense of how much has been actioned? How much will be actioned by the time you start the first half or the second half of the year?
Christian Rothe: Yeah. Joe, there's a lot of that's already in flight. And certainly some of that and the timing of those coming in already in the first quarter. And again, that will continue to ramp as the year goes on. The delta that we saw from those activities in the first quarter really did come from manufacturing efficiency and sourcing, so really areas that are going to impact COGS. And that was a pretty broad range, everything from freeing up some additional capacity, which reduced some overtime at a couple of our facilities, that also actually, those facilities had some better improvements in quality, which reduced material expense. We also implemented barcode scanning at a number of facilities. During the season really good. Early wins in that regard. Logistics gave us a touch of outperformance in the quarter. And then I would also say on the material side, and these are smaller dollar items as far as the delta impact, but again, important. So things like metal fab, raws, stamping, all of which contributed a few hundred thousand dollars each to that outperformance we saw in the first quarter. So momentum is building. It's going well. We're pretty happy with it so far. And again, you're going to see more that that helps in the second half.
Joe O'Dea: Then just wanted to circle back on channel inventories. Pretty encouraging of you that, you know, at this point in time, a lot of that is sorted out. Think, you know, previously, maybe, you know, some timing expectation it would take until, you know, second quarter, maybe even drift into third quarter. So perhaps that's sorting out a little faster than anticipated. But just regionally, if you talk about kind of North America, say Europe in particular, because it seemed like that was still an inventory overhang up until recently. And then it sounds like maybe China is the only area left that you would say, you know, still has some drag effect. But just any regional color on what you've seen there over the past couple of months?
Blake Moret: Yeah. I think you characterized the shape of it. You know, biggest factor in North America would be distribution so much of our business goes through distributors. And that's mostly done at this point. In Europe, the inventory at big machine builders is an important factor. And the relatively high sequential growth in orders that we saw in Europe, we think is indicative of that playing out and normalizing there. And as you said, you know, China might take into end of Q2, Q3, but it's a small part of our business. As China's total revenue is now a little bit less than 5% of our total revenue.
Joe O'Dea: Great. Thank you. Yes. Thanks.
Operator: Our next question comes from Steve Tusa from JPMorgan. Please go ahead. Your line is open.
Chagusa Kotoko: Hi. This is Chagusa Kotoko on for Steve. Thanks for taking my question. Just a little bit more on the first half to second half ramp. It's still the first half seasonality still seems a little weaker than historical seasonality. And you mentioned before you booked some orders during this quarter that or some big orders that are expected to ship in toward the end of the year. If you could provide some any more color on what's going to support the first half to second half ramp, that would be great.
Blake Moret: Yeah. Thanks for your question. We do see as we enter the year an expectation for gradual sequential improvement through the year. And actually, the year started from an order standpoint a little bit better than expected, which reduces that ramp from first half to second half.
Chagusa Kotoko: Okay. Thank you. And then on the second quarter, if you were to do similar decremental margins to the first quarter, it looks like there's some upside to the $2 and EPS that you mentioned, but is there any reason you can't do similar decrementals to the first quarter?
Christian Rothe: Yeah. So obviously, you know, we don't go into that level of detail on our guide. We are expecting, you know, sequentially that we're going to see margin expansion on segment operating margins going through 17% to that 18% kind of number, which again, is consistent with our ramp that we talked about for the full year guide. At the outset of our guide in last quarter's call, but also just reiterating that in this call as well. So no, as far as the modeling year over year, we'll leave that up to you to take a look at that.
Chagusa Kotoko: Okay. Thank you.
Operator: Our next question comes from Noah Kaye from Oppenheimer. Please go ahead. Your line is open.
Andre Adams: Hi there. This is Andre Adams on for Noah. Could you give us more color on some of the drivers of margin outside the quarter, and what the contribution was between mix versus cost action and how mix factors into the reiterated segment margin guidance and the EPS outlook given FX headwinds?
Christian Rothe: Yeah. Sure. Let me just I'll go after this and let me know if I answered the question properly. But really, I believe your question is around just generally the outperformance versus where our original thesis was for the quarter. If we break that out, there were kind of three primary drivers behind it. The first portion was that we did have a favorable mix. That is the software and control business performed better than what we had expected, against the lifecycle business, which was a little bit below our expectations. So careful mix was the first side. And the second one was that as Blake discussed and I also discussed, we had these temporary cost measures that the organization performed really well against. You'll see that inside of our core in that bridge schedule. And then the last one was that we also had a better performance on our cost reduction and margin expansion activities that was expected to be more equal throughout the year, kind of leading up to that $150 million for the full year. We had a little bit of outperformance there. So all three of those are about equal as far as helping us to perform in the first quarter.
Andre Adams: Great. Thank you. And just as a follow-up, microproject still seen as a tailwind for fiscal 2025. Can you just talk about any impact of the funding pause for IRA, IIJA, loans program office funding on the magnitude of that tailwind?
Blake Moret: Sure. We do continue to see mega projects as a tailwind, both in terms of year over year and as a nice contributor to our growth this year as well as for the next few years. So this is multiyear. It's multi-industry. And as we've talked to companies, for instance, in energy, about any impact, you know, that the change in administration is having on their plans, they're continuing on with those projects. So we highlighted a project by a major oil and gas company on a sustainability project this quarter, and we're tracking a lot of those through this year and into the next years. In fact, renewables in terms of new project introductions continues to be a major contributor to the new announcement. So these projects are going to have to stand on their own merit. They're going to have to have a good ROI, but we think there's a lot of those out there whether it's direct air capture, carbon capture and sequestration, and so on. And then, obviously, in terms of traditional development of energy resources, that continues to be a big part of our business. With energy overall about 15% of our total revenue.
Andre Adams: Great. Thank you so much.
Operator: Our next question comes from Jeff Sprague from Vertical Research. Please go ahead. Your line is open.
Jeff Sprague: Hey. Thank you. Good morning, everyone. I just want to come back. Hey. Good morning, Blake. Just want to come back to order. Sorry. It's I guess it's for the umpteenth time on this call. But I just want to be clear on the $2 billion plus number that was given. I don't quite get there based on the year-over-year and sequential changes you talked about. Maybe my base is a little bit off, but is that a reported number, an organic number? Maybe you could be a little bit more precise on that if there's anything else to add.
Christian Rothe: Yeah, Jeff. So that is a recorded number. And you know, I'm not sure exactly what the number is that you're looking at from the prior year, but we are being consistent with the metric and how we've thought about it historically. Again, knowing that, you know, we didn't always and we haven't always given the exact number on orders. It was really more of the I think a lot of folks are getting that order number based on delta, what happened with backlog versus shipments. But again, we thought it was notable that we were back over $2 billion, and we want to call that out.
Jeff Sprague: Yeah. No. That's what I'm doing too. The implied orders based on backlog and revenue changes, but fine. I'll play with that. And then also just wanted to come back to kind of the cost reductions. It looks like your corporate expense actually you raised the corporate expense for the year, if I have that correctly. What is going on in that line item?
Christian Rothe: Yeah. So corporate expense obviously has a number of smaller items that move around from quarter to quarter and throughout the year. Probably the biggest change in the delta on we did take that number up for the full year is really around some of the execution costs on some of the margin expansion cost reduction activities. We're going to take those on the corporate side. So that's the reason why that number went up slightly.
Jeff Sprague: And maybe just one other quick one. I think you said you expect Asia Pacific to be the weakest region for the year even though EMEA is starting off weaker. Are you implicitly assuming there's kind of a tangible pickup in EMEA over the balance of the year? Do you have some visibility on that?
Blake Moret: We do. Again, a lot of that business is driven by the machine builders. So we call that specifically stabilization at the Italian machine builders, and we expect, particularly because it's coming off of a low base, that that machine builder business to recover in Europe as they're back to normal in terms of their inventories. China is expected to continue to suffer from a, let's say, mild deflation through the year. So while we see some recovery, it's going to be slow, and they've got some structural challenges there. China is a small part of our business, but it's a big manufacturing economy, and so it remains important to us. And then India mid and long term, you know, continues to be very bright, but we're not expecting any heroic growth from India this year.
Jeff Sprague: Great. Thank you very much. Thanks.
Aijana Zellner: Julian, we'll take one more question.
Operator: Certainly. Our last question today will come from Robert Mason from Baird. Please go ahead. Your line is open.
Robert Mason: Yes. Good morning, Blake, Christian. Hey, Rob. Thanks for taking the question. Hey. I appreciate the level of detail you provided us around your manufacturing footprints and imports into the US from various, you know, regions, maybe tariff exposed. Could you just and I know you've made a lot of changes over the last few years around how you execute on pricing. Can you just remind us some of those changes and how quickly, I guess, you know, matter of days, weeks, what have you, would you actually be able to put through incremental price around the tariff enactment?
Blake Moret: Yeah. The short answer is immediately. Tariffs can be handled a little bit different than normal price increases. But as we talked about, in the past being able to move to a fixed discount pricing structure, which was some changes that we implemented during the supply chain crisis over the last couple of years, has allowed us much faster response to general price increases. But with tariffs, we implemented them fairly quickly. The first time around back in 2018, and I would say, even more immediately, this time because the impact was potentially larger.
Robert Mason: And in repricing backlog, is you know, would that be a new experience for your customers?
Blake Moret: I think in general, yes, that would be. We have been very communicative around the terms and conditions and how we've been selling to those customers for some of those projects over the last several months knowing that this was a potential. Again, that's what happens when a scenario where we were imagining and indeed did seem to be the case for a little while, which was immediately around tariffs and wanted to make ensure that, you know, again, if we're incurring the cost, we're going to find a way to recover it.
Robert Mason: Excellent. Thanks. I'll turn it back. Thank you.
Aijana Zellner: Thank you for joining us today. That concludes today's conference call.
Operator: At this time, you may disconnect. Thank you.